Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Wheaton Precious Metals' 2024 First Quarter Results Conference Call. [Operator Instructions] Thank you. I would like to remind everyone that this conference call is being recorded on Friday, May 10, 2024 at 11:00 AM Eastern Time. I will now turn the conference over to Emma Murray, Vice President of Investor Relations. Please go ahead.
Emma Murray: Thank you, operator. Good morning, ladies and gentlemen, and thank you for participating in today's call. I'm joined today by Randy Smallwood, Wheaton Precious Metals' President and Chief Executive Officer; Gary Brown, Senior Vice President and Chief Financial Officer; Haytham Hodaly, Senior Vice President, Corporate Development; and Wes Carson, Vice President, Mining Operations. Please note that, for those not currently on the webcast, a slide presentation accompanying this conference call is available in PDF format on the Presentations page of the Wheaton Precious Metals' website. Some of the commentary on today’s call may contain forward-looking statements. And I would direct everyone to review Slide 2 of the presentation, which contains important cautionary notes. It should be noted that all figures referred to on today’s call are in U.S. dollars unless otherwise noted. With that, I’d like to turn the call over to Randy Smallwood, our President and Chief Executive Officer.
Randy Smallwood: Thank you, Emma, and good morning, everyone. Thank you for joining us today to discuss Wheaton's first quarter results of 2024. I’m pleased to announce that our portfolio of long-life, low-cost assets delivered a robust first quarter to start the year, generating approximately $220 million of operating cash flow and over $160 million in net earnings, underscoring the effectiveness of our business model in leveraging rising commodity prices while maintaining strong cash operating margins. And we were very excited to have closed the previously announced agreement with Orion Resource Partners for the Platreef and Kudz Ze Kayah streams, completing an upfront payment of $450 million in February of this year. After advancing this payment, Wheaton remains very liquid with $306 million in cash, a $2 billion undrawn revolving credit facility and ongoing strong operating cash flows, allowing the company to fund all outstanding commitments, as well as provide the flexibility to acquire additional accretive mineral stream interests. Building on the momentum from a record 8 acquisitions in 2023, our corporate development team remains actively engaged in evaluating new opportunities, and we continue to see a healthy appetite for streaming as a source of capital for the mining industry. In addition, during the quarter, we were proud to have been recognized among Corporate Knights 100 most sustainable corporations in the world in 2024. As the architects of sustainable streaming, this accomplishment is reflective of our commitment to operating responsibly in all facets of our business. And with that, I would like to now turn the call over to Wes Carson, our Vice President of Operations, who will provide more details on our operating results. Wes?
Wes Carson: Thanks, Randy. Good morning. Overall production in the first quarter came in higher-than-expected driven by strong performances at Salobo, Constancia and Peñasquito. In the first quarter of 2024, Salobo produced 61,600 ounces of attributable gold, an increase of approximately 41% relative to the first quarter of 2023, driven primarily by higher throughput. Salobo's strong perform -- production in Q1 is attributable primarily to the continued ramp up of Salobo III expansion and sustained overall improvements at both Salobo I and II. In the first quarter of 2024, Constancia produced 640,000 ounces of attributable silver, and 13,900 ounces of attributable gold, an increase of approximately 16% and 101%, respectively, relative to the first quarter of 2023. Strong quarterly silver and gold production continued in Q1 as a result of the significantly higher gold grades from the mining of the Pampacancha deposit and associated higher recoveries. In the first quarter of 2024, Peñasquito produced 2.6 million ounces of attributed silver an increase of approximately 27% relative to the first quarter of 2023, primarily due to higher grades. Production in the first quarter focused on mining in the Chile Colorado pit which contains higher silver, lead and zinc metal grades than the main Peñasquito [ph] pit. On April 30, 2024, Ivanhoe reported the construction activities for the Platreef Phase 1 concentrator are on schedule at almost 90% complete and on track for cold commissioning in the third quarter of 2024. An updated independent feasibility study on an optimized development plan for the acceleration of Phase 2 is planned to be completed and published in the fourth quarter of 2024. As a result of the planned acceleration of Phase 2, Ivanhoe reports that the first feed and ramp-up of production for Phase 1 will be deferred until mid-2025. In addition, a preliminary economic assessment on a Phase 3 expansion is expected to be completed at the same time, increasing Platreef's processing capacity up to approximately 10 million tons per annum. The result of which is expected to rank Platreef as one of the world’s largest PGM, nickel, copper and gold producers. In 2024, GEO production is forecast to be consistent with levels achieved in 2023. As expected stronger attributable production from Peñasquito and Voisey's Bay is forecast to be offset by lower production from Salobo. The suspension of operations at Minto and the temporary halting of production at Aljustrel. Attributable production is forecast increase at Peñasquito as a result of uninterrupted operations and at Voisey's Bay due to the ongoing transition from the Ovoid pit to the underground mines. Attributable production is forecast to decrease slightly at Salobo due to lower grades as per the mine plan, which are expected to be partially offset by increasing throughput as the Salobo III expansion continues toward completion. Wheaton's estimated attributable production in 2024 continues to be forecast at 325,000 and 370,000 ounces of gold, 18.5 million to 20.5 million ounces of silver and 12,000 to 15,000 GEOs of other metals, resulting in production of approximately 550,000 to 620,000 GEOs unchanged from previous guidance. Production is forecast increase in industry leading rate of approximately 40% to over 800,000 GEOs by 2028, primarily due to the growth from operating assets including Salobo, Antamina, Peñasquito, Voisey's Bay and Marmato. The development projects which are in construction and are permitted including Blackwater, Platreef, Goose, Mineral Park, Fenix, Curipamba and Santo Domingo and pre-development projects, including marathon and copper world for which production is anticipated towards the latter end of the 5-year forecast period. From 2023 -- for 2029 to 2033, attributable production is forecast average over 850,000 ounces in the 5-year period, also unchanged from previous guidance. That concludes the operations overview and with that, I'll turn the call over to Carrie.
Gary Brown: Thank you, Wes. As described by Wes, production in the first quarter amounted to 160,000 GEOs, a 19% increase relative to the comparable period of the prior year. Most notably, gold production increased 28%, primarily due to Salobo and Constancia. Sales volumes amounted to 143,000 GEOs, a 31% increase relative to the comparable period of the prior year, primarily due to higher production levels, coupled with relative changes in ounces produced but not yet delivered, or PBND. This increased sales volume coupled with a 6% increase in commodity prices resulted in revenue rising by 38% to $297 million of this revenue 64% was attributable to gold 32% to silver, and 2% to each of palladium and cobalt. As at March 31, 2024, approximately 120,000 GEOs were in PBND, representing approximately 2.3 months of payable production, which is consistent with our expected range of 2 to 3 months. G&A expenses amounted to $10.5 million for the first quarter, and the company continues to anticipate the G&A will total $41 million to $45 million for the year with these figures excluding share-based compensation as well as donations and community investments. Adjusted net earnings amounted to $164 million, with a $59 million increase from the prior year due primarily to the higher gross margin coupled with lower stock-based compensation. Despite the persistent inflationary environment, and thanks to our [indiscernible] predictable cost structure, we can continue to deliver robust cash operating margins in the first quarter, resulting in cash flow from operations of over $290 million, an increase of 62% from the prior year, driven primarily by higher sales volumes. We have declared a quarterly dividend of $0.155 per share, a 3% increase from the prior year. During the quarter, Wheaton made total upfront cash payments of $462 million, $450 million of which was relative to the Platreef and Kudz Ze Kayah streams with the balance relating to the DeLamar and Mt Todd royalties. When coupled with cash generated from operating activities, our overall net cash outflows amounted to $240 million in the first quarter of 2024, resulting in cash and cash equivalents as at March 31 of $306 million. Additionally, subsequent to the quarter the company disposed of its investment in Hecla Mining for gross proceeds of $177 million. This cash balance combined with the fully undrawn $2 billion revolving credit facility, and the strength of our forecasted operating cash flows, positions the company exceptionally well to satisfy its funding commitments and provides us with the financial flexibility to acquire additional accretive mineral stream interests. Lastly, I did want to provide an update on global minimum tax. As previously disclosed, the company does expect its income generated outside of Canada to be subject to a 15% global minimum tax or GMT. While we continue to anticipate that the tax will be retroactive to January 1, 2024, Canada has not yet enacted the legislation and as such, the company has recorded no current tax expense associated with GMT in the quarter. For reference in the first quarter, the wholly owned foreign subsidiaries, which reside in jurisdictions where the GMT is expected to apply had net earnings of $165 million with 15% of such amount amounting to $25 million. We will recognize the tax expense associated with the GMT in our consolidated financial statements in the appropriate period relative to when the legislation is enacted. As such, assuming that the legislation is enacted and its current proposed form, we will record multiple quarters worth of GMT in the quarter that such enactment occurs. That concludes the financial summary and with that I will turn the call back over to Randy.
Randy Smallwood: Thank you, Gary. In summary, Q1 was a very strong start to the year for Wheaton, distinguished by several key highlights. We achieved robust 3-month revenue earnings and cash flow and declared a $0.155 quarterly dividend aligned with our new progressive dividend policy. Our pipeline of development projects was further derisked by construction advancements and the receipt of various key permits by our partners supporting our impressive organic growth profile of over 40% by 2028. We continue to maintain low and predictable costs which, when coupled with our leverage to increase in commodity prices, result in some of the highest margins in the entire precious metal space. Our balance sheet also remains strong, providing ample capacity to add accretive high-quality streams into our portfolio. And lastly, we take pride in being a leader amongst precious metal streamers in sustainability, and by supporting our partners and the communities in which we live and operate. So with that, I would like to open up the call for questions. Operator?.
Operator: [Operator Instructions] Your first question is from Ralph Profiti from Eight Capital. Please ask your question.
Ralph Profiti: Thanks, operator. Good morning. Randy, getting back to Wheaton's roots in silver, prices have been very strong year-to-date. Just wondering what the transaction pipeline looks for -- looks like for more of those silver heavily lever deals. I would imagine those are still pretty rare to come by. And there's -- there seems to be a lot of gold with silver and vice versa and some of the transaction that you're making. But what is the transaction market startup we wanted to look at bringing more silver into the deal structure.
Randy Smallwood: Yes, it's -- Ralph, you're bang on. It's tough to find good silver projects. One of the things that's a bit unique about silver is that most of it is produced from lead zinc operations. Whereas a lot of byproduct gold comes from copper operations, and we just don't hear a lot of lead zinc developments out there. It's not -- those aren't very sexy metals in today's world. So yes, we're not seeing a lot on the silver side. I'll let Haytham add some color to that. He's definitely much more in tune in terms of the opportunities that are out there.
Haytham Hodaly: Sure. Thanks, Randy, and good morning, Ralph. Thank you for the question. I will say like, if I look at the top 10 opportunities I have, probably at least a third of those have a fairly significant silver exposure. So there definitely is silver out there. It is, as Randy said, there's not a lot of new silver, it's mostly for -- if you're looking at balance sheet strengthening or balance sheet repair that type of thing.
Ralph Profiti: Got you. Okay. And maybe I can just stay on the silver theme and maybe go to Wes and ask him about sort of the near-term mine plan for silver coming out of Peñasquito. So that looking over the course of 2020 for Q1, very good quarter on the silver side, and we're coming off of a strike impacted second half last year, puts us at a position where and you talked about the Chile Colorado Pit where we're currently tracking a head of guidance. Just wondering what that cadence looks like on silver for the rest of the year.
Wes Carson: Thanks, Ralph. They are starting to transfer back over to the Peñasquito [ph] pit later in the year here. So we will see the kind of a slight weakening of that as the year goes on, but it is fairly consistent through the year here. This overproduction there is still production, excuse me from Chile, Colorado through the years. So it will be fairly consistent to the year, but as they move back to the Peñasco, that is where they do get the higher gold grades and slightly lower silver grades.
Ralph Profiti: Got you. Helpful. Thanks, everyone.
Randy Smallwood: Thanks, Ralph. Thank you. Your next question is from Cosmos Chiu from CIBC. Please ask your question.
Cosmos Chiu: Right. Thanks, Randy, Gary, and team. Maybe my first question is on your production. Randy, as you mentioned, very strong Q1, 116,000 ounces. But you've maintained your full year guidance at 550 to 620. If I were to streamline it, but you know life isn't that simple. But if I were to multiply your Q1 by 4, I would get to a number that's higher than the top [indiscernible] your annual guidance. Could you remind us to the extent possible, Randy, what we should look for? I think Wes kind of mentioned it, Peñasquito it could come down a little bit. But what else can we look for in terms of quarter-over-quarter sort of production.
Randy Smallwood: I mean, I'll let Wes add a little bit of color at the end of it. But what we do see is relatively consistent production over the course of the year. I think the last quarter at year-end there we were giving guidance to be a little bit more heavily weighted towards the back end of the year. But we have had some outperformance here, obviously in the first quarter. And we're not confident enough to adjust guidance in the sense of having that outperformance continue through the course of the year. But even if we stay on track, you're right, we're going to be -- we're in a very, very good position to at least meet guidance if not exceeded. And so we just want to see a bit more strength behind that. So I don't know Wes, if you got some color to add to that?
Wes Carson: Yes, I would agree. I think it's just -- that after the first quarter, I think it's a little premature for us to get too excited about it, I think yet. But I mean, certainly very happy with the quarter. I mean, Constancia would be the other one that I mean, there is that volatility of [indiscernible] kind of comes in, in and out of the production there. So that'll be the other one that will walk through the year here as we go through. And there is some change to that to the production from Constancia through the year, but fairly consistent through the rest of the year is what we're expecting.
Cosmos Chiu: Sounds good. Maybe a quick question on global minimum taxes. As you mentioned, Gary $165 million in net income from the subsidiary. I'm just trying to figure out how you calculated it. Is it as simple as say, the spot price for gold? Mine is $430 an ounce cost, which is what it was in Q1, multiply by all the stream houses going through a subsidiary? Or is there other sort of deductions that you can take as well.
Randy Smallwood: No, it's pretty much the former of those. It's really -- we estimate the tax based upon the accounting income generated outside of Canada.
Cosmos Chiu: So is there a potential, when it gets enacted that there's other deductions you can take before applying the 15% or by this point of time …?
Randy Smallwood: I mean, infill the legislation is fully enacted. I think there's potential we're not projecting that that's going to take place.
Cosmos Chiu: Okay. And as a follow-up, Gary, how's it going to work? I know that as you said when it gets enacted, you will put through an expense in your income statement, but this is also retroactive to January 1. So is there a potential that you have to make a lump sum payment at that point in time and including the $25 million from Q1? Is that how it works?
Randy Smallwood: Well, we would have a lump sum expense, but the tax doesn't get paid until 20 -- for 2024 until 2026. But if we -- like assuming that the legislation gets fully enacted by June 30, we would have two quarters of global minimum tax flowing through our Q2 results. If it doesn't get enacted by June 30, and it gets enacted by September 30, then we would have three quarters of GMT going through our third quarter results.
Gary Brown: One of the keys there -- Cosmos is that we don't actually make the payments until 2026. That's the way it looks like it's going to be structured is, is that -- it's going to be several years behind the actual tax year before the payment is actually made.
Cosmos Chiu: Got it. Thanks, Randy, Gary and Team. That's all the questions I have, and have a good weekend. Thanks.
Randy Smallwood: Thanks Cosmos.
Gary Brown: Thanks, Cosmos. [Indiscernible]
Cosmos Chiu: What?
Operator: Thank you. Your next question is from Brian MacArthur from Raymond James. Please ask your question.
Brian MacArthur: Good morning, and thank you for taking my question. Again, it goes back to what you're just answering Gary with Cosmos. So just so I'm really clear on this. Everything we're talking about is accounting. So from a cash basis, if that's what we're focused on, really all we need to think about is assuming this tax gets enacted this year, i.e., 2024, you'll just pay 15% cash taxes of 2024 income and 2026. Is that the way I should think about it?
Randy Smallwood: On the income generated outside of Canada.
Brian MacArthur: Right? This is the majority. Okay, so from a peer tax basis, I get it, we want to make sure everybody understands this is accounting, not cash, but there's really no cash effect this year.
Randy Smallwood: That's correct.
Brian MacArthur: Perfect. Thank you. Maybe just the other question following up, was asked earlier about, obviously Salobo did very well, and you've got this, ramp up volume through the sort of middle but you've got grades coming off. And I know you probably don't want to get revised anything yet this year. But do we expect Q1 production at Salobo continue throughout the year?
Randy Smallwood: I'll let Wes answer that one.
Wes Carson: Sure; Early I think we saw slightly better grades and expected at Salobo in Q1. And really I mean the grades due drop off, kind of in the plan as we go through the year and it's just a function of where they are in that Pit. So -- but I mean they have certainly shown the production that’s going through, particularly Salobo III has been very positive. As we said in the start, I don’t think we are confident enough to up the forecast at this point. But it is looking positive from -- for the rest of the year.
Brian MacArthur: So that would be positive reconciliation or just they have me in a different part of the ore body that you got better-than-expected Q1, or could you comment?
Randy Smallwood: Positive reconciliation.
Brian MacArthur: Perfect. Thanks very much for answering my questions.
Randy Smallwood: Thanks Brian.
Operator: Thank you. [Operator Instructions] Your next question is from Tanya Jakusconek from Scotiabank. Please ask your question.
Tanya Jakusconek: Good morning, everyone. I recognize my thought today, that was good. Thank you for taking my question. Just wanted to circle back last on the operational side. I think we touched on Salobo, We touched on Peñasquito [indiscernible] And I think Mart [ph] also concerned on their call that production was slightly, evenly distributed for the year. The one I wanted to touch based on -- [indiscernible], We had talked last quarter about quarter-over-quarter improvement is that how we should still be thinking about that asset.
Randy Smallwood: Yes, absolutely. As those undergrounds come more online, we will see quarter-over-quarter improvement there and that is what’s forecast for the rest of this year. And certainly we saw very good performance from -- in Q1 really ahead of what we’ve been expecting. So I think we can continue to see that growth through the year.
Tanya Jakusconek: Okay. And then I think what Randy had mentioned the 48, 52, first half, second half, look like to be more of a normal distribution. Are there about to the next three quarters, would that be a safe assumption?
Randy Smallwood: Yes. Based on what we see right now, I think it's probably more like a 50-50. If we continue -- if we do see some outperformance in the latter half. I mean, obviously, we'll consider it at the end of the second quarter and determine whether we want to change our guidance. But we're definitely well-positioned to be on track. And as Ralph mentioned earlier on, I think it was, Ralph or Cosmos mentioned earlier on, 4x this production is beating. So we are definitely in a really good position to have a strong year.
Tanya Jakusconek: Okay. Maybe just moving on to the some of the financials, if I could. You have quite a number of investments? I think so, I think you’ve sold out all of your Hecla. Where does the rest of the investment portfolio stand? And how should we be thinking of that in terms of harnessing some cash?
Haytham Hodaly: Hi, Tanya. It's Haytham. Thank you for the question. I will say that the Hecla was a bit of an opportunistic sale, and we are happy with that transaction. Looking at the rest of our portfolio, the majority of our portfolio is with our streaming partners our equities held because they we entered into transactions when we did the streams. Our philosophy at this point in time is we will hold those shares until our partners get up and running in advance. And if there's an opportunity to sell down the road, that's one we'll do it. We have no interest in selling those shares right now.
Randy Smallwood: The primary focus on those type of investments is to be supportive of those partners to be a good, strong supportive shareholder. And so there's no sense in putting pressure on them when they're going through the development phase on their projects. So it is a longer-term commitment as is the streaming agreement itself.
Tanya Jakusconek: Okay. Okay. That's good on the investments. And maybe if I could to follow through, Haytham, on -- just on the transaction opportunities. Just want to circle back. You put out a comment that they're looking at up to $500 million of streaming opportunities. So I want to circle back to, number one, any thoughts of additional platinum palladium opportunities? I personally don't think Stillwater can take on another ROSE and/or stream, but maybe some of the other items in South Africa and/or their gold assets. I don't think you're interested in lithium. Maybe a comment on how that would fit your portfolio.
Haytham Hodaly: Sure. I mean I will keep it simple. We are always looking to add precious metals being gold and silver as a primary two fresh mills. If we can add gold or silver and alongside it add platinum or palladium to top it off to the price that they need, that's something we could consider. You're right, I don't think we would increase Stillwater stream there, but there are other opportunities throughout their portfolio that they are considering.
Randy Smallwood: Saba is a good, strong partner of ours. We've had great relationship with Neil and the team there. And so hopeful that we can grow that relationship as we are always hopeful with all of our partnerships. It's -- they've got quite a broad selection of assets there, and we're sure we can help them unlock some value there somewhere.
Tanya Jakusconek: Yes, on the balance sheet repair. So, yes, thank you for that. And then maybe just circling back again on the opportunities, I know I asked all the time all of these big opportunities for balance sheet repair keeps coming up on some of the bigger non-bulk companies and asset sales for the new Crest, Newmont portfolio, et cetera, et cetera. Haytham, I think you mentioned you were looking at 10 or 20, I forget how many you mentioned you were looking at of your deal …
Haytham Hodaly: Yes. I mean we always have at least a dozen on the go. Tanya, we're probably up closer to 15% right now. Of those, I would say there's probably a handful that are fairly sizable. But in this environment, there's no guarantee that the stream will actually get done, but it is, I guess, enlightening to see that streaming is measured alongside debt equity and other forms of capital as well. So there's definitely people kicking the tires, and we're there trying to get involved. So …
Randy Smallwood: We are happy to see the equity market waking up a little bit and starting to see some support on that side because we've been strong believers that streaming can be the only source of capital. It should be standing alongside a nice balanced spread on that capital. And so happy to see a little bit there because that's going to open up some opportunities just in that sense, standing alongside some equity raises to fund these developments.
Tanya Jakusconek: And the bigger deals, you said you have a handful of, I think, a, those would be the plus $500 million deals. Can I assume those are pure streaming? Or should I be thinking that there's equity components plus debt components to total plus 500? Or should it be a simple streaming structure?
Haytham Hodaly: Sure. I mean the majority of those are looking at streaming structures. When you're looking at opportunities, that's sizable, Typically, the counterparty does not want to dilute and they have access to debt on their own. For the smaller opportunities, I can tell you there's -- I guess, you would look at a portfolio -- not a portfolio, if you look at a number of financing mechanisms alongside streaming.
Tanya Jakusconek: Okay. And so the main financing mechanisms for the smaller ones are what is the stream and plus debt equity would be the structure on …
Haytham Hodaly: That's correct, Tanya.
Randy Smallwood: We don't see a lot in the royalty space. The royalties change. I mean, streaming has proven to be much more attractive as a source of capital and royalties. So we don't -- just don't see new royalties. We see existing royalties being traded around, but not too many people are creating new royalties, especially on advanced projects. If they're doing royalties, it's on -- stage early -- very early stage, kind of ticket create basically royalties so that one day they can put them in a portfolio and try to sell them to companies like us.
Tanya Jakusconek: Okay. Well, we'll wait for those. Appreciate you taking all my questions and great quarter. Thank you.
Haytham Hodaly: Thanks, Tanya.
Randy Smallwood: Always a pleasure, Tanya.
Operator: Thank you. Your next question is from Richard Hatch from Berenberg. Please ask your question.
Richard Hatch: Yes, thanks. Good morning Randy and team. Thanks for the call. And just got a couple of questions. Just firstly, on the Hecla point, my numbers you made about 50% on that trade. So it's a good deal. But is there any tax that you've got to pay on the sale of those shares or anything we need to be working in there or not?
Gary Brown: The tax -- we will have a tax liability associated with that. It will be included at 50% and subject to a 27% income tax.
Randy Smallwood: So standard capital gains of 50% of the gain is taxed at a 27% rate. So net effect is about 15.5% on the total.
Gary Brown : That's right.
Richard Hatch: Yes. Okay. Very helpful. Second one is just on Salobo. It's nice to see that asset kind of coming back to performing better again. Just any commentary around the expansion case from Vale or anything that you might be able to add on that, please? -- the expansion case, I mean, the hiring higher grading case.
Randy Smallwood: Oh, I see. Okay. Yes, I mean the focus -- definitely let Wes add some color to this. But the current focus is, of course, trying to get to the next phase of the expansion payment. And so they're working their way towards that. Whether they achieve it this year or next year remains to be seen. They're definitely continuing to improve on Line 3. But as it's been sort of laid out before the whole site has to perform in order to satisfy that. And so the Line 1 and Line 2, we still got some work to do on that front. But as we've seen, this quarter, they actually outperformed even their own expectations, right? And so given that, we think it's shaping up well for them to hopefully satisfy that. Once that next phase gets satisfied, then we'd be looking at the high grade bonus kicker and actually it starts in the year subsequent to whenever they satisfy Phase 2 of the main expansion payment. And it's basically on an annual basis if they meet certain objectives, we'll make an additional payment towards Vale for satisfying those things. And so that won't start until next year at the earliest, again, depending on when they finish the Phase 2 of the main expansion payment.
Wes Carson: Yes, I think just to add on to what Randy said there. I mean, really, the focus right now is on getting Salobo III up to its full capacity and really having Salobo I and II built up there as well. The high grade is really an expansion on the open pit and getting some more equipment going in there. And that's really once they get those plants up and running, then the focus will move over to the mine and then getting that going, I think …
Wes Carson: In the past, they have -- just to add, they have talked in the past about the possibility of exploring a Phase IV expansion. And there's been some discussion about whether that would be an additional 6 million tonnes per annum or 12, whether it's a full line. And so there is still some discussion and studies going on internally on that front, too. So there's no doubt there's still a healthy focus on Slobo.
Randy Smallwood: Absolutely. Well that’s right.
Wes Carson: And -- that's just pure upside for you, right? There's no extra commitments. You've got to pay for that, correct?
Randy Smallwood: Yes. Exactly.
Wes Carson: And then just on that grade upside, are you able to give us any kind of a feel for what kind of higher kind of grade potential we could be seeing from next year if they go down that road?
Randy Smallwood: The channel -- sorry, Wes, I'll step in. The challenge is, it depends on how much they grow their mobile fleet. It depends on how much they push towards the low-grade stockpiling side. And so there's a number of different factors that they have to balance, stockpile capacity. If they shift more of the low grade towards that, then they could easily push grades substantially higher. If they -- it really does come down to what kind of a fleet expansion they go through in the pit. And that's what will sort of dictate what kind of grades they can deliver to the mills.
Richard Hatch: Yes. Okay. Got you. And then last one is just on Mineral Park, I think if I look at the MD&A, you've got $150 million that you could deploy into that one this year. Any kind of steer on timing on that, please?
Randy Smallwood: I mean it looks like it's on track. We've -- I mean, the work is moving forward. And so it's an asset that we know well. We are pretty excited about it. It's always delivered more silver than expected in times past, and so we're expecting to see similar results out of it. And what's really exciting about it is the current ownership group has identified and really is in the process of resolving the challenges that, that project had in the past. And so we think it's going to be a nice pleasant addition to the re-addition to the portfolio this time around. And so we are pretty happy with that group. They've done a good job of identifying what the challenges are, and they're putting the money right where it needs to be spent in terms of getting it there. So fully expect it to be coming on stream here within a couple of years.
Haytham Hodaly: And that $150 million will be provided in stage payments, right? It's not all one lump up. It will be provided over, I would say, three or four different payments to $25 million each of the last one is $40 million.
Richard Hatch: Yes. Got you. Okay, fine. Sorry. while I've got you is that something that could be a Q2 outflow? Or is it too early to say that yet?
Randy Smallwood: Yes, it could be Q2.
Richard Hatch: Okay. Helpful. Thanks [indiscernible]. Much appreciated.
Randy Smallwood: Thanks, Richard, and thanks, everyone, for your time today. We are pleased to report a good, strong start to our 20th anniversary year here at Wheaton. Wheaton's high-quality portfolio of assets, sector-leading growth profile and commitment to sustainability provides our shareholders with a solid outlook for the future and one of the best vehicles for investing into gold and precious metal space. As we celebrate our 20th anniversary throughout 2024 I am sincerely thankful to all of our stakeholders for being a part of Wheaton's success, and I truly look forward to a golden future together. We look forward to speaking with you again soon. Thank you.
Operator: Thank you. This concludes this conference call for today. Thank you for participating. Please disconnect your lines.